Operator: Good day, and welcome to the XL Fleet Corp First Quarter 2022 Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Stacey Constas, Associate General Counsel for XL Fleet. Please go ahead.
Stacey Constas: Thank you. Good afternoon everyone and welcome to XL Fleet’s earnings conference call to discuss our results for the first quarter of 2022. With me today are Eric Tech, Chief Executive Officer; Donald Klein, Chief Financial Officer; Mike Kenhard, Chief Technology Officer & General Manager of Power Drive; and Colleen Calhoun, Vice President & General Manager of XL Grid. Our call this afternoon includes statements that speak to the company’s expectations, outlook or predictions of the future, which are considered forward-looking statements. These forward-looking statements are subject to risks and uncertainties, many of which are beyond our control, which may cause our actual results to differ materially from those expressed in, or implied by these statements. We undertake no obligation to revise or update any forward-looking statements, except as maybe required by law. We refer you to XL Fleet's disclosures regarding risk factors and forward-looking statements in today's earnings release. Our Annual Report on Form 10-K, and our other Securities and Exchange Commission filings. A copy of our press release has been posted to the investor relations page of our website for reference. The non-GAAP financial measures discussed in this call are reconciled to the U.S. GAAP equivalent and can be found in the press release that we issued this afternoon. With that, I will turn the call over to Eric Tech.
Eric Tech: Thanks, Stacey. And thanks to everyone for joining us on the call this afternoon. I'd like to begin today by highlighting an exciting recent addition to our leadership team. On April 11, we are pleased to welcome Don Klein as the Chief Financial Officer of XL Fleet. Don brings more than 25 years of public company finance and accounting experience and has a proven track record with relevant industry experience. Most recently, Don served as the Chief Financial Officer of Power Solutions International, a publicly traded company and leader in the design engineering and manufacturing of emission certified engines and power systems. I was privileged to have worked closely with Don during my time at Navistar where Don spent nearly a decade. And prior to his departure served as the company's Assistant Corporate Controller. I'm excited to partner closely with Don in his new role and I'm confident in his ability to lead our finance organization, while helping deliver value to all XL stakeholders. Roughly 60 ago, we stated that we would identify a high caliber CFO and I'm proud to have delivered on that commitment. We have a great team in place today and I’m confident that we have the right people to advance our growth and execute. Separately, as recently announced, Tod Hynes who stepped down from this role as President and member of our Board of Directors. On behalf of XL Fleet, we'd like to thank Tod for his service and appreciate his many contributions to XL Fleet since founding the company more than 13 years ago. The company has built on Tod’s sustainability, focused mission, and our team remains focused on building upon this vision as we pursue new opportunities in decarbonization. Additionally, I look forward to working with Tod in this new capacity as Chair of our Advisory Board. As we laid out last quarter, I spent my initial 90 days performing a comprehensive review of the business. For my initial review, identified several near term opportunities and actions related to people, technology, and resources. As part of this, we made the difficult decision to resize our team and resources to better align with our near term needs. This decision was part of a process to narrow the focus of our offerings, the applications and solutions, that made the most strategic and financial sense for XL Fleet over the long-term. I'm very appreciative of the strong base of talent that we have in place today. There are patients during this time of transition and there are many contributions to driving success at XL Fleet. I'm proud to say that we have already seen benefits from our actions. In particular, I spent a substantial amount of time with our newly organized Drivetrain business led by Mike Kenhard. I've been impressed with the changes Mike has made thus far and I'm very optimistic about all that Mike and his team are executing and pursuing. As we laid out last quarter, part of our strategy included the pursuit of transformational M&A. In the last couple of months, my team and I have implemented a process to institutionalize this effort, including the formation of an investment committee comprised of senior leaders and members of the board. This committee meets on a weekly basis to review and discuss potential M&A opportunities. As noted last quarter, we are taking a fresh and wide look at opportunities that benefit from the long-term growth resulting from the global need for decarbonization. Thus far, our committee has assessed opportunities related to vehicle electrification, transportation decarbonization, renewable energy generation, and energy efficiency. We continue to search for strategic transactions in these and other areas of the broader decarbonization and energy transition ecosystem. I believe that we are very attractive company and potential partner in large scale M&A given our established presence in the decarbonization space, a strong cash position, deep corporate knowledge, and a public listing. We look forward to providing further updates as appropriate.  With that, I'd like to turn it over to Mike Kenhard for a brief discussion of our Drivetrain business.
Mike Kenhard: Thanks, Eric. Starting with a high level view of the market, we have seen signs of supply chain improvement even since our last quarterly call a few months ago. Our team is in active discussions with municipal customers and other prospects as budgets continue to reset as we emerge from the worst of the pandemic induced by [indiscernible]. And while we continue to deal with delays related to chassis delivery, we are seeing less customer chassis cancellations. Market conditions have begun to improve and we are also closely monitoring supply and demand dynamics resulting from recent COVID-19 outbreaks in certain regions of the world. As we previously discussed, XL fleet was selected as one of the two finalist for a pilot program being run by the department of defense to develop anti-idle technology for military applications. We continue to make progress and to date have achieved two of the four milestones in this process. We look forward to providing further updates as we are able to. Last quarter, we highlighted that we have been assessing opportunities to deploy similar technology in applications outside of this potential DoD award. Our team has been working diligently to integrate anti-idle technology technology. I'm pleased to report that we now have working prototypes of vehicles that combine with new anti-idle technology with our hybrid systems.  We’re in active discussions with customers about this latest technology offering, which has been [indiscernible] excitement and enthusiasm for customers and applications that seek efficiency and sustainable, while on the move or static. Finally, we continue to advance our all-electric refuse truck being jointly developed with Curbtender. This will be XL Fleets first all-electric commercial application. We're excited to formally unveil and showcase that all electric quantum refuse with our partner Curbtender at WasteExpo 2022. This solution is the first of three pre-series vehicles and we remain on-track to deliver completed units to customers by the end of this year. With that, I'd like to turn things over to Colleen Calhoun to discuss our XL Grid business.
Colleen Calhoun: Thanks, Mike. Our World Energy business continued to perform well generating $4.2 million in revenue during the first quarter. This reflects the seasonality related to utility based programs, which typically experience higher volumes in the third and fourth quarters. Our team continues to work closely with a range of customers across the spectrum of energy efficiency projects. During the quarter, our World Energy Team completed 129 projects across a range of project types, including efficiency, as well as the EV charging. Importantly, a portion of our projects completed this year reflect key customers, showcasing our ability to identify new ways to partner with our customers as they pursue greater sustainability across their business. We are pursuing new growth opportunities in our recent expanded footprint in New York. Our team is also pursuing a number of exciting opportunities resulting from the increased focus of carbon reduction by New England utilities. One great example of this is the use of heat pumps as a replacement for delivered fuel and electric heating systems as utilities incentives for those programs have increased significantly this year. From a customer trend perspective, commercial and industrial small business energy efficiency customers remain a core focus for our World Energy Business. The team has also recently increased its focus on the medium and large commercial industrial and municipal customer segments. In fact, approximately 22% of all projects signed in the first quarter were for medium and large customers, up from 14% in the same period last year. As we noted on the last quarterly earnings call, we are investing in the growth of our World Energy Business. We have been successful in attracting new quality talent to the organization, having already hired half of the team members needed to achieve our targeted 25% annual growth in team size this year. Our project backlog is approximately 130 projects at the end of the first quarter, reflecting the strong momentum we expect through the remainder of the year and beyond. Now, let me turn it over to Don to walk through our financials.
Donald Klein: Thanks, Colleen. I'm excited to be speaking with you all today and my first earnings call as CFO of XL Fleet. Given the changes that Eric mentioned to the structure of the organization, now we'll manage and evaluate operational performance going forward. The company made a change in this segment reporting in the first quarter of 2022. The company will now report segment results for XL Grid and Drivetrain as separate reportable segments. With that said, let's begin the consolidated financial results. for the quarter. Revenues for the first quarter of 2022 totaled $4.8 million, compared to $8 million in the fourth quarter of 2021 and approximately $700,000 in the prior year period. We reported gross loss for the quarter of approximately $400,000 compared with a gross loss of $1.6 million last quarter and gross loss of approximately $700,000 in the first quarter of last year. The gross loss for the quarter included a non-cash charge of $1.5 million for the write-down of kit inventory for systems no longer sold. Selling, general, and administrative expenses for the first quarter of 2022 totaled $11.7 million, compared to $15.9 million last quarter and $8 million in the first quarter of 2021. SG&A expenses for the quarter of 2022 included approximately $500,000 in legal fees related to class action complaints and the previously disclosed SEC investigation. Adjusted EBITDA totaled negative $11.3 million, compared to negative $14.6 million in the fourth quarter of 2021, a negative $9.9 million in the prior year quarter. In the first quarter, we recognized an $8.6 million non-cash impairment of goodwill resulting from a decrease in the company's market cap during the quarter. As a result of restructuring actions, taking the right size of team in certain areas of our operations, we recognized charges totaling $2.5 million. These included a $1.5 million non-cash write-down of kit inventory previously mentioned and $800,000 severance charge with $700,000 of that paid in the quarter and $100,000 of accelerated amortization. In addition, we recognized $700,000 of severance charges with the departure of a Former CFO and President was approximately $500,000 paid in the quarter and the remaining to be paid over the next two quarters. As of March 31, 2022, we had cash and cash equivalents of $333 million, compared to $352 million at the end of 2021. Cash used in operations for the quarter was $19.1 million, which included $7.7 million of items that were not reflective of expected cash flow for the remainder of the year. These include [indiscernible] $2.7 million for annual payments of certain items, primarily the company's annual insurance renewal and the payments of the annual incentive bonus for 2021. $2.3 million, primarily related to contingent consideration for previously completed acquisitions, approximately $700,000 of cash payments for previously mentioned rights size in actions. $1.5 million of incremental payroll prior to those actions and certain retention payments. And finally approximately $500,000 of severance payments for the Former President and CFO. As previously discussed, our focus remains in the most efficient uses of capital, including M&A where our search is centered around businesses in the ecosystem resulting from the growing need for decarbonization. Turning to our segment results, revenue in our XL Grid segment totaled $4.2 million, compared to $7.7 million in the prior quarter. Segment loss for our XL Grid segment was $1.4 million, compared with the segment loss of $500,000 in the prior quarter. XL Grid’s results reflect the seasonal nature of the business with lower activity in the first quarter.  Revenue in our Drivetrain segment totaled approximately $600,000, compared with approximately $300,000 in the prior quarter and approximately $700,000 in the first quarter of 2021. Segment loss for our Drivetrain segment was $5.9 million, which included a non-cash charge of $1.5 million for the write-down of kit inventory for systems no longer sold, compared with the segment loss of $8.8 million in the prior quarter, a segment loss of [$3.6 million] [ph] in the first quarter of 2021. I'll now pass it back to Eric for a few closing comments before opening it up for Q&A.
Eric Tech: Sure. Thanks Don. As I noted that last quarter, a lot of work remains ahead of us. I'm encouraged by the many positive signals across our business. And I'm confident we have the right team in place to help deliver value on behalf of all XL Fleet stakeholders. With that, now let's open up the lines for Q&A.
Eric Tech: Thank you, everybody. Really appreciate you listening in today and hope that you continue to follow XL Fleet on our journey to deliver value to all of our stakeholders, especially our shareholders. Thanks again.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.